Operator: Good day, and thank you for standing by. Welcome to the Radius Recycling's First Quarter 2024 Earnings Release Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your speaker today, Michael Bennett, Investor Relations. 
Michael Bennett: Thank you, Josh, and good morning. I'm Michael Bennett, the company's Vice President of Investor Relations. I am happy to welcome you to Radius Recycling's earnings presentation for the first quarter of fiscal 2024. 
 In addition to today's audio comments, we've issued our press release and posted a set of slides, both of which you can access on our website at radiusrecycling.com. Before we start, let me call your attention to the detailed safe harbor statement on Slide 2. Which is also included in our press release and in the company's Form 10-Q, which will be filed later today. As we note on Slide 2, we may make forward-looking statements on our call today, which is our statements about our targets, volume growth and margins. 
 Our actual results may differ materially from those projected in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in Slide 2, as well as our press release of today and our Form 10-Q. Please note that we will be discussing some non-GAAP measures during our presentation today. We've included a reconciliation of those metrics to GAAP in the appendix to our slide presentation. 
 Now let me turn the call over to Tamara Lundgren, our Chairman and Chief Executive Officer. She will host the call today with Stefano Gaggini, our Chief Financial Officer. 
Tamara Lundgren: Thank you, Michael. Good morning, everyone, and welcome to our fiscal '24 first quarter earnings call. On our call this morning, I'll review our quarterly results, the trends affecting our business and progress on the strategic activities we have underway to address industry dynamics and create long-term value through the cycle. 
 Stefano will then provide more detail on our financial performance, our capital investments and our capital structure. I'll wrap up with some takeaways from our tenth sustainability report that we issued in mid-December and then we'll take your questions. 
 So let's turn now to Slide 4. Earlier this morning, we announced results for our fiscal '24 first quarter, which reflected adjusted EBITDA of $1 million and an adjusted EPS loss of $0.64. Market conditions for recycled metals in Q1 were challenging, primarily due to lower manufacturing activity and scrap generation in the U.S. and muted global steel production.
 Our first quarter results reflected higher ferrous sales volumes but tight scrap supply flows continued to compress metal spreads. Although the steel mill experienced a decline in prices during the quarter, we continued to benefit from healthy West Coast construction demand. The mill's quarterly utilization rate of 95% was significantly higher than the national average and we achieved a 10% increase in sales volumes year-over-year. 
 Our results reflected positive impacts from our strategic initiatives. Nonferrous production from both our new metal recovery technology investments and the fiscal '23 acquisition, contributed to a 12% increase in nonferrous sales volumes versus a year ago. In addition, during the quarter, we recognized initial benefits from our $30 million productivity improvement program that we announced in October. And lastly, we continued our uninterrupted record of returning capital to our shareholders through the issuance of our 119th consecutive quarterly dividend. 
 Let's turn now to Slide 5. Ferrous export prices reflected soft demand during most of the quarter. One of the continuing headwinds was China's finished steel exports which reached their highest levels in almost 7 years. This elevated level of exports impacted both steel production and ferrous scrap demand in Asia, the Middle East and Turkey. Beginning in mid-November and continuing into December, however, export prices strengthened. This demand was primarily driven by restocking and concerns over tight scrap availability. 
 Turning to the U.S. domestic market. Similar to the export market, ferrous prices were somewhat flat during the first 2 months of the quarter. Domestic demand was impacted by the now resolved UAW strike related destocking and overall low utilization rates. Beginning in November and continuing into December, domestic ferrous prices increased across all grades on similar factors as the export market. 
 Now let's review non-ferrous. Base metal index prices for aluminum and copper traded at strong levels during the quarter, supported by low warehouse inventories and forecasted supply disruptions from mines. Tight nonferrous scrap supplies and the increased use of recycled nonferrous metals in support of decarbonization efforts have resulted in higher prices and a reduced discount to LME-based metal prices. 
 Turning to finished steel. Market prices in the quarter were down slightly on normal seasonality. We expect to see increased activity in 2024 and beyond related to the U.S. infrastructure bills. Our Oregon steel mill with its range of low-carbon products, including our line of net 0 carbon emission steel products, is very well positioned to meet this expected demand. 
 Let's turn now to Slide 6. On this slide, you can see some of the economic factors that underlie the constrained scrap generation that we are experiencing. First, U.S. PMI has dropped below pre-COVID levels; and second, the average age of vehicles on the road has reached the highest level on record, leading to materially lower scrappage rates. In addition, a decline in durable goods orders along with increased scrap collection costs and higher interest rates, have contributed to tighter scrap supply flows. We expect scrap generation to expand as manufacturing and construction activity improves and inflation and interest rates decline from their current levels. 
 Let's turn now to Slide 7. Long-term demand for recycled metals remains very positive for several reasons. First, decarbonization is driving increased demand for recycled metals. Many low-carbon technologies are more metal intensive than the technologies that they're replacing, and recycled metals require less carbon to produce than mine metals. Second, the anticipated structural deficits for metals, such as copper and nickel and the increased use of recycled metals by manufacturers seeking to reduce their environmental impact are also driving demand. Lastly, as you can see in the 2 charts on the bottom of the slide, the use of ferrous scrap in the steelmaking process is also expected to continue to grow significantly in the coming years. 
 In addition, EAF steelmaking capacity, which uses ferrous scrap as its primary raw material, has been expanding and is projected to increase further. 
 So let's turn now to Slide 8 for an update on our strategic priorities. In an economic environment characterized by weak scrap generation and inflationary pressures, we continue to focus on managing the things within our control. Our strategic priorities are directly aligned with the long-term trends we've just reviewed and can be summarized as follows: First, we are investing in advanced technologies to increase recovery of nonferrous metals, generate more furnace-ready higher-value products and create product optionality. Second, we remain highly focused on increasing our ferrous and nonferrous volumes in light of the positive long-term drivers of increased demand. Third, we are continuing to grow our trademark 3PR business line that supports a rapidly growing service and supply chain solution that enables our customers to increase their recycling rates reduced material going to landfills, lower their carbon footprint and provide enhanced sustainability reporting. And fourth, we are committed to ongoing productivity initiatives as part of our continuous improvement culture. 
 While the current market environment is challenging, we have demonstrated our ability to navigate effectively through these periods of volatility and tight scrap availability. We have a strong track record of delivering positive through-the-cycle operating cash flows and equally as important, our operating costs are largely variable, which provide more flexibility to manage through this period of slowing economic activity and tighter supply flows. These market conditions won't last forever and we are well positioned to benefit from the expected increased demand for recycled metals associated with decarbonization and low-carbon technologies. 
 So now let me turn it over to Stefano. 
Stefano Gaggini: Thank you, Tamara, and good morning. I'll start with a review of our consolidated results and provide an update on our ferrous sales and the market dynamics. Adjusted EBITDA in the first quarter was $1 million. Performance reflected further recycled metal spread compression resulting from 3 factors: Realized prices for recycled metals declined with average ferrous and nonferrous net selling prices down sequentially by 1% and 3%, respectively, while PGM prices decreased by 11%, reaching their lowest level in 5 years. 
 Second, the further tightening of scrap flows during the fall continued to constrain our ability to adjust scrap purchase prices to reflect the lower price environment. And third, versus our mid-October expectations, the timing of the improvement in ferrous market prices during November was a significant contributor to metal spread headwinds as we recognize sales contracted at lower prices before the market rebounded. The lower price environment also led to a modest detriment from average inventory accounting of $1 million during the first quarter, down from a detriment of $5 million in the prior quarter. 
 Contribution from our steel mill remained a significant driver of our consolidated performance, although down sequentially, primarily due to seasonally lower finished steel sales volumes compared to a strong fourth quarter. On a year-over-year basis, sales volumes were up 10%, reflecting the continued healthy demand from nonresidential construction in our West Coast markets. Our first quarter results included the recognition of insurance recoveries of $4 million related to the shredder outage at our Everett facility in prior periods. This compares to $41 million in recoveries recognized in the prior quarter. 
 We continue to focus on mitigating inflationary pressures on operating costs and offsetting the loss of operating leverage due to the lower flows. During the first quarter, we started implementing the productivity initiatives we announced back in October, targeting benefits of $30 million on an annual basis. These initiatives are focused primarily on further production cost reductions, operating efficiencies, logistics optimization, procurement savings and yield improvements. 
 In the first quarter, we achieved initial benefits in the range of about half of the targeted quarterly run rate. We anticipate achieving substantially the full run rate of benefits from these initiatives beginning in our second quarter. 
 Turning to other ferrous dynamics in the first quarter. Amidst slow cap generation, the sequential increase in ferrous sales volumes of 4% was driven by timing of sales. The share of domestic ferrous shipments was 46%. Our top sales destinations for ferrous exports were Turkey, Bangladesh and India. 
 Now let's move to Slide 10 to discuss nonferrous sales and the market dynamics and provide an update on our nonferrous technology investments. Nonferrous sales volumes were up 12% year-over-year reflecting benefits of our nonferrous recovery investments and expansion of our platform and were down 11% sequentially on timing of sales. We sold our nonferrous products to 17 countries with a major export destinations being India, Malaysia and China. 
 Our product mix is highly diversified with sales of products recovered from shredding operations representing slightly less than half of total nonferrous volumes. Average net selling prices for copper, aluminum and other nonferrous products were down 3% sequentially. The Prices of PGM metals were down more than 50% from a year ago, impacted by lower demand from the U.S. and global auto industry. 
 Turning now to our advanced nonferrous recovery technology investments. Our focus is on completing the remaining primary nonferrous recovery systems, which drive the incremental metal recovery and the majority of the expected contribution from our program. Several of these primary systems are in various stages of commissioning and ramp-up with 2 left to start construction on the West Coast, of which 1 awaits permitting approval. We are working closely with our technology vendors to address fabrication and installation delays we have experienced in connection with certain of these projects. We now project construction of the currently permitted systems to be completed by the end of the summer with ramp up to full operations to be reached by calendar year-end 2024. Once fully operational, we continue to expect substantial returns from these investments. Our advanced separation systems, which are already operational, give us the ability to process the mixed aluminum metal zorba into higher grade twitch and other furnace-ready materials, providing access to an expanded customer base. 
 In the first quarter, the contribution to performance from these technologies was impacted by challenging market dynamics, including a compression in the historical price premium between twitch and zorba. Contributing to this compression was zorba demand from Southeast Asia, which remained healthy, while the UAW strike in the U.S. impacted demand for the higher grade twitch domestically. As auto production improves, we expect an increase in demand for twitch. 
 Now let's move to Slide 11 to discuss our steel mill performance. Rolling mill utilization was strong at 95% significantly higher than the prior year of 81% and also well above the U.S. average of 75% for the period. Finished steel sales volumes were 129,000 tons, up 10% year-over-year, a reflection of continued healthy demand from nonresidential construction in our Western U.S. markets were lower sequentially due to normal construction seasonality. Average net selling prices for finished steel decreased 3% compared to the prior quarter. Although down sequentially, metal spreads at our mill remained healthy in historical comparison. 
 As Tamara mentioned, we believe our mill stands to benefit from the expected demand created by the U.S. infrastructure bills. 
 Now let's move to Slide 12. We achieved better-than-expected operating cash flow in the range of breakeven as we avoided a typical first quarter seasonal detriment to working capital through efficient management and timing of sales. We have a multiyear track record of generating positive annual cash flow through the cycle and expect this trend to continue for our fiscal '24. CapEx spend in the first quarter was $25 million. For fiscal '24 as a whole, we project our CapEx investments to be in the range of $100 million. Approximately 25% will be for growth projects, including the completion of our nonferrous technology initiatives and investments to support recycling services expansion with the remaining spend for maintaining the business and environmental-related capital projects. 
 Net debt was $280 million at the end of the first quarter, Availability under our credit facility remains sizable with a borrowing capacity of $800 million in a maturity of August 2027. Net leverage was 24% at quarter end and the ratio of net debt to adjusted EBITDA was 2x. We also returned capital to shareholders through our quarterly dividend. The effective tax rate on first quarter adjusted results was 35% higher than expected due to volatility created by a relatively small changes in projected company performance. 
 Turning to the second quarter of fiscal '24. Early trends based on the first few weeks of the quarter, indicate ferrous and finished steel sales volumes to be slightly down sequentially as they follow typical winter seasonality patterns and nonferrous sales volumes to be approximately flat. As Tamara mentioned earlier, we have seen a strengthening of ferrous scrap prices since mid-November in both the export and domestic markets with a similar upward trend in nonferrous prices. We expect second quarter results to benefit from these higher prices and to improve sequentially. While we anticipate improved financial performance, since we are only 4 weeks into the quarter and current market conditions remain particularly volatile, including from tight scrap availability, which can be compounded by winter weather, we plan to provide a more detailed second quarter quantitative outlook at a later time. 
 And with that, I'll turn the call back over to Tamara. 
Tamara Lundgren: Thank you, Stefano. In mid-December, we issued our tenth sustainability report, which describes our progress towards our multiyear sustainability goals. I'll highlight just a few examples. We achieved our 25% greenhouse gas emissions reduction goal 2 years ahead of schedule. 
 As a result, we increased our reduction target to 35% to be achieved by the end of fiscal '28. In addition, we maintained 100% net carbon-free electricity usage across our operations for the third consecutive year. These achievements and many others would not have been possible without our employees living our core values of safety, sustainability and integrity. I am very proud of what our team has accomplished, and I'd like to thank our employees for their dedication to continuously serving our customers and communities, supporting our suppliers and demonstrating the critical and essential role of our business and industry in the global economy.
 And now operator, let's open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Martin Englert with Seaport. 
Martin Englert: First question in the release and in the prepared remarks, you called out I believe what was a negative $1 per ton related to inventory holding losses. When we think about the sequential decline in EBITDA per ferrous ton across the platform, was the remainder of that solely related or mostly related to challenging inbound flows and collections and what you had to pay for buying scrap? 
Stefano Gaggini: Martin, this is Stefano. So that's correct. So we have really -- when you think about the sequential decline, the reconciliation, we have really 2 main contributors: one, as we had anticipated a seasonally lower mill contribution. But then to your point, the further compression of recycling metal spreads is what drove the decline. And so we have mentioned lower prices, both on ferrous, nonferrous and PGM and then the further tightening of the scrap flows, including that market squeeze that we saw in November where market prices strengthened, and we had already sold ahead -- contracted ahead of the sales and we saw a squeeze from a metal spread compression.
 So, if we think about going forward, that increase that we saw since November into December in prices, both on the ferrous side as well as on the non-ferrous side, that's what gives us the visibility to call an improvement. We expect it to improve our results as we look into Q2. So we didn't get any benefit in Q1 from that, but that should occur in Q2. And then to close the loop on your question, yes, the weighted average inventory accounting detriment in Q1 was $1, and that was down from $5. So that's when you look at the reconciliation sequentially, that was an improvement embedded in our results. 
Michael Bennett: Thank you for that. For the -- your comment on about November, December, ferrous scrap prices improving, and therefore, that leads you to believe that there will be some improvement in overall group results quarter-on-quarter for the current fiscal 2Q. Is that solely a result of improved market prices for ferrous scrap in metals? Or do you attribute some of that improvement to pay flows have improved somewhat. The metal spreads are improving as a result of that, I guess, if you had to parse that out a little bit qualitatively. 
Stefano Gaggini: Yes, I'll start with it. So the major driver of the expected improvement in results from Q1 to Q2 will be driven by an expected spread expansion driven by the prices. So the prices for -- again, for both ferrous and non-ferrous having gone up that should expand our spreads. On the flows, we are early in the quarter, so we can't really tell. But so far, we do not expand that part of a component to be a driver of the expansion, especially if we think about winter weather seasonality, usually availability of scrap generally speaking in the winter is slightly more constrained seasonality-wise. So we don't expect that to be a driver of that improvement. 
Martin Englert: Okay. Understood. One other if I... 
Tamara Lundgren: And I think the other thing to add is -- sorry, Martin, the other thing to add would be the benefit of a full quarter of our productivity benefits. 
Martin Englert: On that, I believe for the current quarter, that was largely offset due to the inflationary pressures. Is there a comment on the current fiscal 2Q as to whether there will be any similar offset there? Or is this something that you'll begin to see it kind of flow through the P&L in a positive way? 
Stefano Gaggini: I'll take that one. Yes, we are seeing inflation, we've been clear in the past. I think what we are seeing right now is a slowdown of inflationary pressure and so as we continue to look for productivity improvement, certainly to achieve the full run rate of the ones that we've already identified. But we continue to look for additional productivity and we would expect that to be accretive to margins as we go forward in a lower inflationary pressure environment. 
Tamara Lundgren: And Martin, I would add some green shoots that we look for and some of which we're seeing and the timing, whether it occurs Q2, Q3, the timing is not clear. But the things that we are watching for, clearly, the Fed rate hiking cycle is probably over. Rate cuts are expected at some point in '24 as inflation gets under control. Treasury yields -- longer-term treasury yields going lower, the risk of the U.S. -- of our U.S. recession declining. These are all macro green shoots that we expect to convert into higher manufacturing activity, higher construction activity, obviously, lower rates and we're also looking for an improvement in auto production, which has impacted supply flows and obviously, constrained end-of-life vehicle scrappage rates and the like. So -- and then longer term, we see demand in India growing. We see the ongoing energy transition, demand for metals continuing. And it does look like the destocking that we experienced in the last quarter may have also come to a conclusion. 
Martin Englert: Thank you for the additional color there. One quick question on the insurance recovery. I know that was a significant impact a quarter ago. There was a $4 million positive impact that was related to a prior event at Everett. Can you remind me of what the timing was of that event at Everett that it was associated with and then I'm curious why isn't this just excluded from the adjusted EBITDA for the quarter in the -- when you report the results there. 
Stefano Gaggini: Yes. I'll take that. So the recoveries in the current quarter are in connection with the fire that we experienced at our Everett, Massachusetts Shredder facility in December of 2021, so 2 years ago. And since then, we have been in negotiation with our insurance partners regarding the property damage and business interruption impact and claim that we have made under the insurance and so in the current quarter, we recognize, as you said, $4 million incrementally associated with that claim and we are at this point in advanced stages of our negotiations and we would expect to at some point, settle this in short order.
 From a approach from a non-GAAP perspective, I will remind you that when we experienced the financial impact of the operational disruption associated with this event, which happened on the last couple of years. We did not exclude that impact from our adjusted EBITDA. And consistent with that approach, we do not adjust out insurance recoveries when they are recognized in our income statement as in the current quarter. 
Martin Englert: Okay. Do you -- So there was $41 million last quarter, $4 million this quarter we're at $45 million. And apologies. Is there anything else before that and I guess more importantly, is there anything else? What else are you expecting from this and maybe timing around it? 
Stefano Gaggini: Yes, Martin. So you might remember, we have had 2 significant insurance claims. One was related to this average Everett shredder event. There was another 1 related to the mill. That one was settled in Q4. It was part of that higher amount of recoveries because of all the settlement of that claim.
 So that -- there's nothing related to that, that is open. At this point, why we cannot project the potential remaining amount or the timing, right, for our settlement or progress in our negotiations with insurance partners. We do not expect the magnitude to be as significant as what we've recognized to date around these claims and a little bit of that. 
Operator: Our next question comes from Samuel McKinney with KeyBanc Capital Markets. 
Philip Gibbs: It's Phil Gibbs, actually. Question is just on the global seaborne freight market. There looks to be a lot of volatility and some things we're reading sort of in the European region, specifically about some maybe some port constraints. What are you seeing in terms of the freight dynamics? And is that something that also kind of clouds your ability to be more specific on guidance. 
Stefano Gaggini: Phil, this is Stefano. So kind of looking back as we think about the impact of freight challenges, and I would put both the Panama Canal, right? And the red Sea Suez Canal challenges due to the conflict. The impact to our Q1 results looking back was not significant. There was not an impact to the availability of bulk ships or containers. So from that perspective, that on top of the fact that freight, right freight costs are a pass-through from our perspective, there was not a significant impact. What we have heard through market intelligence very recently that there could be certain surcharges that are being -- might be added on certain routes to container freight rates at some point going forward for those containers that go through complex zones, if that were to happen, there could be an impact at this point, it's too early to tell and you're correct. It remains uncertain from that perspective. 
Philip Gibbs: Thank you. And -- you had mentioned the twitch to zorba differential was pretty tight in the quarter, we saw the same thing. Has there been any material change to that dynamic in the last few weeks? 
Stefano Gaggini: Yes. I think we mentioned that 1 of the reasons for that compression in the quarter was how the UAW strike had impacted the demand domestically for twitch and from an auto production perspective. as that UAW strike has now resolved. We have seen a certain pickup in demand coming out of that. I think as we look more long term, as other production improves, that's where we would expect demand for twitch to increase more significantly and potentially restore the historical premium that we have seen between the higher grade twitch and zorba. 
Philip Gibbs: And then last question. Did you have any planned or planned or unplanned outages going on right now in any of your shredding facilities? And how is that reperforming kind of coming out of this recent this recent period. 
Stefano Gaggini: Thanks, Phil. No, we do not have any unplanned outages or the like in any of our shredder facilities. 
Operator: Thank you. I would now like to turn the call back over to Tamara Lundgren for any closing remarks. 
Tamara Lundgren: Thank you, Josh. Thank you for your time today, everyone. We look forward to speaking with you again in April when we report our second quarter results. In the interim, stay safe and stay well. 
Operator: Thank you for your participation. You may now disconnect.